Operator: Thank you for standing by, ladies and gentlemen. Welcome to the Tsakos Energy Navigation conference call on the first quarter 2014 financial results. We have with us Mr. John Stavropoulos, Chairman; Mr. Nikolas Tsakos, President and CEO; Mr. Paul Durham, Chief Financial Officer; and Mr. George Saroglou, Chief Operating Officer of the company. At this time all participants are in a listen only mode. There will be a presentation followed by a question and answer session. (Operator Instructions) I must imply that this conference is being recorded today, Friday, May 16, 2014. I now pass the floor to Mr. Nicolas Bornozis, President of Capital Link, Investor Relation Advisor of Tsakos Energy Navigation. Please go ahead Sir?
Nicolas Bornozis : Thank you, very much, and good morning to all of our participants. This is Nicolas Bornozis of Capital Link, Investor Relation Advisor for Tsakos Energy Navigation. The company released its financial results for the first quarter of 2014, this morning. The press release has been distributed publicly. In case if you do not have a copy of it, please call us at 212-661-7566 or email us at ten@capitallink.com and we will email a copy to you right away. Please note, that parallel to today's conference call, there is also a live audio and slide webcast, which can be accessed on the company's web site on the front page at www.tenn.gr. The conference call will follow the presentation slides, so please, we urge you to access our presentation and webcast. Please note that the slides of webcast will be available at an archive on the company's web site after the conference call. Also please note that the slides of the webcast presentation are user controlled, that means that by clicking on the proper button you can move to the next or to the previous slide on your own. At this time, I would like to read the Safe Harbor statement. This conference call and slide presentation of the webcast contain certain forward-looking statements, within the meaning of the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995. Investors are cautioned that such forward-looking statements, involve risks and uncertainties, which may affect TEN's business prospects and result of operations. Such risks are more fully disclosed in TEN's filings with the Securities and Exchange Commission. Ladies and gentlemen, at this point, I would like to turn the call over to Mr. John Stavropoulos, the Chairman of Tsakos Energy Navigation. Mr. Stavropoulos, please go ahead, sir?
John Stavropoulos : Thank you very much, Nicolas. Good morning or good afternoon to everyone. As you know, I will retire as the Director and Chairman of the Board after 20 years. Today, if we can let me a few moments of recollection. After military service including the Korean War, I returned to the U.S to complete my college studies there on my MBA from Kellogg in 1956. The first job in my professional career was actually a securities analyst. I continued in the investment research area for 14 years as the [Indiscernible] to our director. In 1970, I switched careers to commercial banking. I had the pleasure of opening and managing our bank. I later headed up ship commands and non-U.S. real estate before moving on to the Latin American operations. In 1976, I have been in [Indiscernible] and was called back to the USA to head the bank’s real estate department which along with all of its peers was in great distress. Later, I headed the U.S. commercial banking operations. In 1980, I was made the Chief Credit Officer and Overall Risk Manager, a responsibility I held through retirement in 1990. While doing investment research I sat for the three test process, for the first call for CFA, and I historically maintained that designation for 50 plus years. I also served as the national director of the credit managers association and President Bush’s No.1 credit standards advisor committee. I shared these reflections to the satisfied credentials, the comment about corporate financial reporting and commentary, the investors and investment analysts had my sympathy. Today I read many financial statements which I hit, my head shakes in dismay. A Three-Card Monte artist would be envious. I am very proud of our management which with the strong support of board of directors with value transparency and accounting (ph). The financial statements reflect the desire and our intent to communicate conservatively and clearly. There are no smoke screens or double thoughts. What you see is what you get. Likewise, management’s commentary is equally open and humble. There is nothing less certain than the future. Often the crisp of all is foggy in a highly cyclical industry like shipping. But our management strives to communicate with you the investors and analysts positively (ph) and honestly. As a participant in this process I congratulate management for these high standards. I am confident that the incoming chairman Papageorgiou will take the time later this month to reinforce this setting. Thank you, Nikolas. I will now pass it to Nikolas Tsakos.
Nikolas Tsakos: Today is very important day for us here and then having our chairman to be with us in his title with his current role for at least for the last time, but he has promised to be around a lot. All of us want to thank him for his guidance and mentorship through 20 years of shipping cycle. He became our chairman in June 1994. Our company was established in October 1993, so we were an in form company at that time with four older vessels with a deadweight of 250,000 dwt smaller than one our VLCCs. He is stepping down 20 years later to the date as always very well organized chairman. As we are coming of age we actually becoming of drinking age, now we’re getting our 21st anniversary, and our fleet consist of 60 state-of-the-art vessels, 6.2 million dwt of carrying capacity, $1 billion in profitability over the years more than 380 million in dividends and you’re leading the Company with a very sold balances and back to profitability as our results have shown this quarter. I personally want to thank the chairman for steering the boat on course and being my mentor for all these years. I am happy to know that his advice will always be available since he has good respect all as an advisor to the Board, so thank you chairman and too many more.
John Stavropoulos: Thank you.
Nikolas Tsakos: And with this, I would like our CEO, George Saroglou, to give us an update of this quarter and what we expect.
George Saroglou: Thank you, Nikolas. It is my pleasure to speak with all of you today and provide you with details of the operation of another quarter. For those of you who are connected to the Internet, in our website, there is an online slide presentation. We will try to follow that format of this presentation during the call. Let's turn to Slide number 3, where we had a snapshot of the diverse and versatile fleet than currently owned, which enable the company to take advantage of market opportunities in spite. We have 42 tankers that carry crude oil from shifting of one VLCC, 12 Suezmax's and this number will include two more than Suezmax tankers with acquisition we announced today; 17 Aframax tankers, eight in the water and nine newbuilding that is under construction for the Statoil business, two DP2 Suezmax shuttles tankers on pink long charter, and we have 12 out of the 26 product tankers in the fleet and gate at the moment include trade operation resulting in 35 vessels out of 48 vessel operating fleet trading crude oil. We have also two LNG vessels including one in the water and one order. The next slide shows the growth that our company has experienced since going public in 1993 in Oslo Stock Exchange, whereas our CEO and President, Mr. Tsakos said we started with modestly with four vessels and 250,000 dwt, but by the time we’ve floated the Company in the New York Stock Exchange in 2002. We had gained significant size with 26 vessels and 2.3 million dwt and since then we have doubled more than doubled every category in every metric of the Company. And right now we had a fleet of 60 vessels with pro forma fleet of 60 vessels with 6.2 million dwt. Moving onto the outlook of the market, the first quarter of 2014 exhibited signs of levels of stop trade weight for crude banker may reach when market fundamentals are favorable. The spike in the first trade rate benefited in our case are growth and profit sharing trading in Suezmax and Aframax tanker. Rate surged to the highest level since 2010 for VLCCs and 2008 level for Aframaxes before easing despite the ease thing that we have seen which is normal. Asset values for modern tankers continue to go higher. The overall sentiment is positive again and with limited supply growth for crude carriers at least for the next 18 months to years. The prospect for the crude sector is very good. The next slide gives the market highlight with, the global activity has been continued to strengthen and is expected to improve further in 2014 and 2015. For the first time since the crisis of 2008 much of the globe is expected to come from advanced economy. So in 2014 and 2015, global GDP growth is expected to grow 3.6% and 3.9% respectively up from 3% in 2013. Global oil demand will grow 1.3 million barrels -- grew 1.3 million barrels in 2013 and is expected to grow by the same number in 2014 at 92.8 million the expected global oil demand for this, this is a record number. The order book especially for crude tankers is still low by historical standards. Suezmax and aframax tankers expect little supply growth in the next two years. On average less than 1% growth in 2014, ‘15 for the suezmax negative growth in 2014 and flat growth in 2015 for aframax. Far Eastern cover their order books well into 2015. Both of the orders in the last 18 months have been on product tankers, MR and LR. The overall tanker order book is now at 14.4% of the existing fleet down from more than 40% back in 2008 and 22.3% in 2010. The end result call for modest global fleet supply growth over the next two years. On the fourth quarter facts and highlights at the end of last year we announced the strategic alliance with Statoil initially for five aframax tankers which during the first quarter expanded to nine vessels. It’s a milestone transaction for our company since these nine vessels will have another six year charter with extension options at, if exercised by Statoil in full will run to 12 years. This transaction serves stated policy of forming and operating a young fleet. This nine order vessels did not out any stress in the tanker order book as these vessels are built to share specific client requirements. We believe in growing the company and in building the fleet responsibility. The company’s pro forma fleet of 60 tankers include 48 vessels in operations nine aframax crude carriers under construction for delivery in 2016 and ‘17 two suezmax tankers sister vessels to suezmax tankers already operating in the fleet and one vessel under construction. The fleet is 100% double-hull very modern, average age of the fleet including the two suezmax will join the fleet in June and July of 2014. It’s much younger than the average of the oil tanker fleet. 21 tankers with ice-class capabilities and 20 vessels out of the first 48 operating fleet have fixed term employment; we have nine vessels of operating profit sharing charters that together with the fixed term vessels range from 1 years to 15 years. We have 19 vessels trade currently in the spot market and together with nine have profit sharing arrangements; we have 28 tankers that can take full advantage of market spikes. Thanks to our balanced time charter philosophy we continue to operate at least at a very high utilization rate. 98% is the rate for the first quarter of 2014, when the average for the tanker industry in 2014 is not expected to be higher than 86%. The next slide has the main financial highlights of our press release. Significantly, improved numbers in every category and much stronger profitability than the profits reported for the first quarter of 2013. So it looks, we see that 34% improvement in voyage revenues 130 million in the first quarter of this year, 97 million for the quarter of last year, 44% increase in the EBITDA over the figure of first quarter of last year, 153% increase in operating income which translates to 24.5 million vessels less than 10 million in first quarter of 2013. And back to profitability 14.6 million strong number versus 1 million in 2013. We also maintain a very strong balance sheet and cash reserves with 204 million cash at the end of the quarter compared to almost 172 at the yearend 2013. We have an impeccable debt service record since the crisis started back in 2008, while we maintain power to grow responsibly with new building orders against projects with long-term employment like the two shuttle tankers, the acquisition and employment of suezmax tankers, Spyros K and Dimitris P and the Statoil deal. Also one of the vessel that we’re acquiring we announced acquiring today has significant remaining charters to major oil companies. The next slide number nine presents a corporate fleet as it stands right now, against very modern diverse fleet. As you can see we focus in three market sectors conventional tankers, which cover both crude and product takers LNG and shuttle tankers. We have the first two Greek flag shuttle tankers, which are on 15-year charter for Petrobras, we have one LNG in the water, and one tri-fuel vessel under construction. And since 1997, the built exclusively with new building orders in Korea and Japan. The next slide shows the clients of TEN, with whom the company is doing repeat business over the year. Thanks to the quality of service, fleet modernity and safety record of the enterprise fleet. In the same table, beside the names, we also list the top clients of TEN and sharing their revenue of the company during 2013. The employment slide is Slide 11. We continue to have imbalance employment strategy for the corporate fleet having a mix of spot charters, contract (ph) of our statement and pulling our ranges and period charters with fix rates and minimum rates with profit-sharing arrangements. We have 20 vessels on time charter with fixed employment, nine vessels in profit sharing and 19 vessels trade in a combination of spot voyages and pools. If we put a $1 value on the above, in the next slide as of May 16, we have 57% of the remaining available 2014 operating days, 36% of the available 2015 fleet operating days and 23% of the 2006 fleet operating days. If we assume more than minimum rates, TEN has secured 898 months of forward employment of 2.3 years per vessel and 823 million in minimum gross revenues. The next slide presents the Company’s track record in the sale and purchase activities and the key takeaways here is that the sale and purchase is an integral part of our operation as this record indicated and also the fact the fleet will guarantee is a key element of our strategy. We have showed almost 208 million capital gains since 2002 and we have reinvested this capital gains in renewal fleet by ordering the majority of the new building tankers before new building prices started to rice. In the current environment of rising asset prices, TEN is looking to sell some of its own performance and replace with more than recent alternate, as the acquisition of the 2013 and 2012 suezmax tankers shows. The last slide, Slide 14, shows the history of our cost dividend distribution. The next dividend of $0.05 per share on the common share will be paid on May 22, we have announced today another dividend to be paid on August 2014. In total, since 2002 we have paid $9.83 in cost dividend or approximately $390.4 million and this compares with a lifting price in our IPO of $7.50 which is adjusted for the November 2007 two for one split. That concludes the operational part of our presentation. Paul will walk you through the financial highlight of the first quarter of 2014. Paul?
Paul Durham: Thank you, George. In quarter one last year, we achieved a very well commit income of just $1 million. One year later net income for quarter one has increased nearly 15 totals to $14.6 million. With two new shuttle tankers and the dynamic crude stock market revenue up voyage expenses was $96 million against $73 million in quarter one 2013. As we restated TC per vessel increased 25% over the prior quarter one to $22,750. Crude carrying suezmax and aframax's earned significantly higher stock rates than in quarter one 2013, a number of product carriers also earned impressive stock rates but in generally average rates achieve product carriers was about the same as in quarter 2013. Voyage expenses increased due to 24% more days on stock voyages. And some longer hole voyages. Offset by an 8% fall in bunk prices from the prior quarter one. EBITDA of $49 million was 70% over the recent quarter form, old vessels earned positive EBTIDA accept of two vessels one of which underwent dry-docking. While operating expense increased from the prior quarter one much of this was due to the shuttle tankers having higher operating costs than conventional tankers. So they also earned more than most. Total improved costs were up due to rate increases, modest new taxes and a weaker dollar. This was also heavy resupplying in quarter after a lean quarter four. However, expect euro to weaken in 2014 at a timing of supply to even alter within year reducing daily average OpEx below the quarter one level. Depreciation increased by $1 million due to the impact of the shuttle tankers, offset by reduced depreciation on the four over vessels, as a result of the impairment charge incurred in quarter four. Finance cost were similar to quarter on 2013, reduced debt and the expiry of extensive interest rate swap to keep total finance cost down. Total debt sale by $26 million in quarter one to 1.35 billion outstanding. Net debt to capital sales at 51% and was improving valuations leverage fully restore to compliance at 62%. Committed newbuilding capital expenditure relates to the construction of nine crude aframax's and one LNG carrier. Remained same since 2014, amounted $78 million with $57 million next year. We are currently finalizing related financing arrangement for the aframax’s, which prestigious spenders that compare this terms which allow pre-delivery drawdown. We are buying two modern suezmax to $121 million and negotiating related finance of $80 million as compared to the term. We forecast revenue from these vessels to add a meaningful contribution to the bottomline. Finally, we hold over $250 million of cash designated by [Indiscernible] for non-capital expenditure in the next 12 months while allowing us to give two years consideration to other attractive proposals to TEN. And this concludes my comment and now I will hand the call back to Nickolas.
Nikolas Tsakos : Thank you, Paul. We are very happy to answer any questions from anybody on the phone, and we are happy that we are in strong profitability and looking forward for this year to be a very successful year for TEN as far as business run. So please, I will open the floor.
Operator: (Operator Instructions) From Stifel, your first question comes from the line of Ben Nolan, your line is now open, sir.
Ben Nolan - Stifel: Yes, thanks. This is Ben. My question is on the Suezmax acquisitions, first of all it seems like pretty good price although was, you did buy it from an affiliated company. I guess my question is how exactly do you come to those prices and then a follow-up to that, are there any other assets that would be good said, maybe we could see similar transactions on in the future.
Nikolas Tsakos: Yes. We have and independent committee -- it does not happen very often because literally all the banking assets are owned by TEN. So I do not see anything like this happening again. Those were two ships actually that were ordered and then block decision for four vessels in order to get better prices and that time TEN did not feel that it had the capacity to absorb them. So I think it was - they came back home, and it seems that the - we get comments from all the analysts that this is a very good price for us. And then sorted things that our independent committee did a very good job by doing this, which means - it’s based at London and they actually talked to three of the big brokers houses and then they come with the prices, and believe it’s…
Ben Nolan - Stifel: I agree, it does seem fair to maybe even a good price. But, associated with that, I think one of the two vessels had a time charter contract to the second half of 2015. Could you maybe just for modeling purposes, give me a sense of where that rate might be, or at least state the annual EBITDA that you would expect to continue?
Nikolas Tsakos: It’s in the mid 20s. It’s already accretive, it is already accretive pertaining to first to last May and we will be developing much more business as we go forward.
Ben Nolan - Stifel: And then lastly, I know that you guys had been sitting on and pushing back the option for that LNG vessel. Do you still have the option for the third LNG vessel, and if so or if not, what is your thinking with respect to that segment of your business going forward?
Nikolas Tsakos: That’s a very good point. I think we have -- I think as George mentioned we have perhaps run over the few companies out there. You have only built ships in specific areas, in Korea and Japan. We have not yet dealt with the - not exotic places in the world to build ships, so this means that our relationship with big assets like Hyundai are very close. So, yes, if we wish to, we have the option out there, but we might consider depending on what our clients need there to replace the option of the LNG with two VLCCs. As George said we are only -- we are building responsibly. We will not build VLCCs just for the fun of it to make more -- to put more tonnage in the market. We will only build them again specific long-term charters. This is something that we try to do and protect the market. Because what happened, the quarter we are reporting, it is very obvious that the supply and demand are so close right now to equilibrium that has not only went like much colder winter than expected and that alone created a huge push to the market. So we’re there and we don’t want to spoil it.
Ben Nolan - Stifel: That makes sense. And is there a strong, or are there charters out there, similar to what you did on the Statoil deal, who would be interested in taking VLCCs on long-term time charter contract so that something that is relatively done, don’t you think?
Nikolas Tsakos: I think, I mentioned these deals in the road show that I think there are very few companies of our size the strength and operation capability left unfortunately, so the peer group has run to almost a handful, so we’re seeing a lot of business coming on from major oil companies for long-term charters. So not only in VLCCs, in the vessels that we specialize. So you are correct there is much more business than a year ago, which also shows that oil majors believe that market will determine.
Ben Nolan - Stifel: Alright, that’s all very helpful. Thank you.
Operator: Thank you very much sir. Now from Morgan Stanley we now have a question from Fotis Giannakoulis. Your line is now open sir.
Fotis Giannakoulis - Morgan Stanley: I also want to thank the Chairman Mr. Stavropoulos and wish him all the best to his new step in his life. And I want to go ahead with a few questions about the MLP that we discussed on the previous earnings call you said that you might be thinking of doing an MLP late this year or early next year. How are these plans developing? Have you started drafting and which vessels do you think that they will be eligible to be part of this MLP?
Nikolas Tsakos: Thank you for this one. As you know we’re we cannot do much for the next 90 days but of course we’re planning and right now depending on the market conditions we would like to - out there in early September we would like to be able to start finalizing the details for [Indiscernible] to the market conditions to see if it’s going to be October, November or January, February the best time to close it. It will initially include the two LNGs the two shuttle tankers and the two vessels the sisters of which we just bought the Spyros and Dimitris all of them with long employment, nine years 8.5 at that time between the conventional suezmax with profit sharing. 13 years remaining at the time for shuttle tankers, two years on the LNG on the existing LNG but hopefully by that time it will have been fixed together with the new LNG. So that will be fix and then as of the beginning of 2016 we will be dropping the initial aframax’s or the other, but by that time we will have contacted with the oil company.
Fotis Giannakoulis - Morgan Stanley: And where does your, where do you stand regarding the chartering of the LNG vessels? One of them is expiring quite soon in a few months, so I assume that you will need an extension in order to include into the MLP?
Nikolas Tsakos: No it is actually been extended, it actually now is going to with the same rate and expiring in the middle of 2016. So we have two more years for the existing vessels.
Fotis Giannakoulis - Morgan Stanley: You’re absolutely right. And do you think that you’re going to have an extension on this vessel before the time of the MLP?
Nikolas Tsakos: Yeah, I mean we’re working right now on a dual deal which the charter will take the new ship at an ‘x’ rate and also expand the new energy.
Fotis Giannakoulis - Morgan Stanley: Thank you for that, it’s very helpful. I want to ask a little bit about your earnings and your EPS calculation. I was running some quick estimates of the market value of your fleet and it seems that there is some difference with what you have in your books. How would your earnings per share look if you had mark-to-market vessels in your books?
Nikolas Tsakos: I am not quite sure we have -- the earnings per share is currently based on our operational revenue and expenses and the valuation any movements in valuations are not taking into account earnings per share. You might have a problem in calculating earnings per share if you haven’t realized that we deduct this income statement than we do deduct the preference dividend, preference stock dividend.
Fotis Giannakoulis - Morgan Stanley: Paul what I am referring is your depreciation if your depreciation reflect that you saw in your income statement reflects the actual depreciation of your vessels and whether it is overstated or understated?
Paul Durham: Well I think we state our depreciation fairly accurately, I mean one never knows how longer a ship is going to live. And our residual value is based on market price. I think, the only way that depreciation might be affected, if we actually impair that [Indiscernible] quarter four. And that did have an impact on the four of it that we impair. And that has an impact of about $0.5 million a quarter. So that impacts our earnings per share.
Fotis Giannakoulis - Morgan Stanley: Okay. There might be on resold vessels that you seen there -- the last one that you cover, you think there might be another impairment going forward?
Nikolas Tsakos: No, no those were the four oldest and we do an impairment check every quarter, there was no indication that they needed further impairment. We will look at them closely, but the rest of the fleet, as George was saying is very new. And the likelihood happens to another major impairment systems. You call U.S. rules and terms and we can’t do anything about taking into account valuation -- moving some valuation to vessel, except through impairment.
Fotis Giannakoulis - Morgan Stanley: Okay. Thank you very much. One last question about the market, we have seen that -- it’s been quite volatile. The first quarter was quite good in late last year. But the second quarter seems to be developing more than expected, why do you think this has been accompanying? And how do you see the latest part of the year developing? And what kind of operates do you expect for suezmax and aframax’s vessels.
Nikolas Tsakos: Yes. Well, your product, I think the first quarter, as I said, we had -- because of many weather condition we’re had very -- very good order book as it sounds to-date for the remainder. The tanker vessels sit one below the other over the last 10 years. So we had little bit more demand, we had very strong rate. This has led the old companies that I would say they were caught un-deferred for the strength of the market in the first quarter to go out and look for companies like our shareholders and others to provide long fair amount. We’re looking for the minimum rate and the profit sharing. I think the second quarter starts little bit slower we have -- we are facing a lot of geopolitical uncertainty in some of the rules like it was a year ago. We had a big lot of cargos in the Mediterranean because of the union problems which still remains. Today, we’re facing the same main lead over the vessels like Northern European trading starting from pre-March [Indiscernible] we’re seeing because of also some of the measures taking against Russia, the cargo is coming out of this market. We of course at some stage, we have to include and that’s why [Indiscernible] replaced from longer volume. Recently, we’re seeing that right now the United States is discussing to release some -- and a lot of export of some of its [Indiscernible] of course this will create a big long volume market. So I think we are and making sure geopolitical market right now, but we can [Indiscernible] otherwise, we are seeing -- trying to building up this strategic sales as we speak. So in generally we are not expecting to have similar, as we are moving in the first quarter. But I think we’re looking at -- calculate, that’s I think we are looking in the need proper plan for suezmax aframax’s for the remaining of the year.
Operator: (Operator Instructions) Thank you. We may have a question from Euro Pacific Capital from Mark Suarez. Your like is now open, sir.
Mark Suarez - Euro Pacific Capital: Hi, good morning gentlemen. Thank you taking my questions here. I just have a follow-up question on -- you’re alluding to strategic alliance system to start all of them, I thinking about, should we think about a concession similar to that in terms of newbuilding problems with guaranteed voyages with tanker industry? Or are we thinking more of the LNG space? What are your preferences in terms of the second and that you’re aiming to maybe loan to a similar transaction? And so are we thinking about -- this as a 2014 event of this is more like a long term 2015, 16 kind of thing?
Nikolas Tsakos: I mean, I think we are looking at both, of course the 2015, we are going to go for newbuilding, which again is not our preferred group. We are trying and give four enchanters existing seats when you will be [Indiscernible] many charters need more modern ships and ships that are built specifically for the name, so actually the deals will be here in, that will be signed in 2014, the actual deliveries of the ships will be I think from 2016 and onwards for the new vessels. I believe within the next maximum six months, we’ll be announcing a couple of strategic transaction similar to strategy which we will work right now.
Mark Suarez - Euro Pacific Capital: Okay that’s very helpful. I feel that sounds good. Now, I am sorry if I missed this because I got cut off by I guess five minutes. Can you just breakdown your remaining CapEx for the third and fourth quarters of 2014 and then ’15? I am sorry if I missed this again I just click on here.
Nikolas Tsakos: Our CapEx for this year, we’ll start with nine aframax’s are concerned, we’ve paid $46 million in quarter one and we’re going to pay another similar amount $46 million in quarter three. And then in 2015, there will be a $36 million payment and then 2016 when we start to get the delivery it goes up $180 million and 2017 $155 million.
Unidentified Company Representative: Most of that will be financed.
Unidentified Company Representative: We will get three-delivery door down as I’ve mentioned in my stock.
Mark Suarez - Euro Pacific Capital: Okay, great.
Unidentified Company Representative: On the LNG carrier we’ve already paid $50 million in prior year so only we only have one payment this year in quarter four $31 million, and next year $21 million, and in 16 on delivery and this is depending on extras and what we decide about the LNG option, it could be between $105 million and $110 million.
Mark Suarez - Euro Pacific Capital: Got you. Okay that does clear now. Now, we’re just going to have market question. We have actually seen over the past I would say six months increased financial distressed sales, and I don’t know if you guys are looking at those types of sales or such, but I’m wondering what the trend has been over the past three months? Have you seen increased distressed selling activities if we go or maybe some distressed source try and getting desperate and trying to solve that tonnage away from the balance sheet?
Nikolas Tsakos : Yes, I mean, right now there are fleets of many VLCCs that are marketed from realized distressed sales. The problem with all ships, the majority of those are built in China and those are -- may get Chinese which are not yet that far with clients that we’re selling. So there is total of six, I think some other owners bought some of those six in the last couple of months. Usually those six ship have been abandoned and they need a lot of upbringing and top of this they have been built not on the high quality yard -- you’re going to gain into second-tier clients for those systems. This is what the gain. I mean, we don’t look at the opportunities but this is not the game we play in [Indiscernible] I mean we’ll bring [Indiscernible] high level and demand client. But now we’ve seen a lot of -- right now there are two fleets of VLCCs out there that are distressed that being the court is overrate and no one is spending ships, no one is taking care of the ships. So there are disasters waiting to happen for whoever buys them and someone will by them.
Mark Suarez - Euro Pacific Capital: Okay, right, that’s very helpful. Well, thanks for your timing and this will off from now.
Operator: Thank you very much indeed, sir. (Operator Instructions) No, gentlemen, there’re appeared to be no further questions so I should pass the floor back to you for closing remarks.
Nikolas Tsakos: Well, again, thank you very much for attending our first quarter release and as I tell you this special day for us having our chairman as a chairman on this for the last time. Again, we want to thank him for all this help and assistance in all good [sympathy note] that he brought to the Board and looking forward to our next -- the team will in the New York during [Indiscernible] which is in about the month and look to talk to you soon random the meetings on 30th of May, this year. And we’re looking forward to see you and talk to you during our August release. Thank you very much.
Operator: Thank you very much indeed, sir, and with many thanks to our speakers today. That does conclude the conference. Thank you for participating. You may now disconnect. Thank you gentlemen.